Operator: Good morning, ladies and gentlemen. Welcome to the Third Quarter 2018 Matador Resources Company Earnings Conference Call. My name is Daniel and I will be serving as the operator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session at the end of company's remarks. As a reminder, this conference is being recorded for replay purposes and the replay will be available on the Company's website through December 31, 2018 as discussed in the Company's earnings press release issued yesterday. I will now turn the call over to Mr. Mac Schmitz, Capital Markets Coordinator for Matador. Mr. Schmitz, you may proceed. 
Mac Schmitz: Thank you, Daniel. Good morning, everyone and thank you for joining us for Matador's third quarter 2018 earnings conference call. Some of the presenters today will reference certain non-GAAP financial measures regularly used by Matador Resources in measuring the company’s financial performance. Reconciliations of such non-GAAP financial measures with comparable financial measures calculated in accordance with GAAP are contained at the end of the company’s earnings press release. As a reminder, certain statements included in this morning’s presentation, may be forward-looking and reflect the company’s current expectations or forecasts of future events based on the information that is now available. Actual results and future events could differ materially from those anticipated in such statements. Additional information concerning factors that could cause actual results to differ materially is contained in the company's earnings release and its most recent Annual Report on Form 10-K. Finally in addition to our earnings press release issued yesterday, I like to remind everyone that you can find a short slide presentation summarizing the highlights of our third quarter 2018 earnings press release on our website on the Events and Presentations page under the Investor Relations tab. And with that, I would now like to turn the call over to Mr. Joe Foran, our Chairman and CEO. Joe?
Joe Foran: Thank you, Mac and good morning to everyone on the line and thank you for participating in today's call. We appreciate your time and interest in Matador very much. Now I would like to introduce the executive committee who is joining me this morning along with other members of our management team and senior staff who are standing by for all your questions. They are; Matt Hairford, President; David Lancaster, Executive Vice President and Chief Financial Officer; Craig Adams, Executive Vice President, Land Legal and Administration; Billy Goodwin Executive Vice President and Head of Operations; Van Singleton, Executive Vice President of Land; Brad Robinson, Executive Vice President Reservoir Engineering and Chief Technology Officer. As outlined in our earnings release issued yesterday, the third quarter of 2018 was an outstanding and record quarter for us which exceeded our original projections. I want to take a moment and acknowledge the entire Matador staff for all their achievements and to note some groups in particular that really went above and beyond. First is midstream and marketing; they made a number of decisions on marketing including fractionation and hedges which have mitigated much of the differentials and transportation problems and really appreciate what they've accomplished and the goals that they've set some ambitious goals in securing third-party contracts for some of our midstream facilities. They brought their plant, double the capacity of our Rustler Breaks plant on time, on budget, got the substation going, got the [aiming] plant and have turned in a just a great performance. Also to our normal E&P, new zones, reduced costs on drilling, some innovations and completions that have made a difference, some great land work. The whole group I want to commend. Also don't want to leave out what has been a very busy quarter for our financial group. They redid the bank agreement, they refinanced the bonds, they added to the bonds. They've got an agreement in place for our midstream. And they just were relentless in getting all this done. And as we came around the office when we shall shout Auooga, Auooga goes off they just get to work. And finally our guys in the field who have kept after the production to help us achieve these production results and they fought through rain, truck traffics, demand for services, getting them out there to the wells. And we wouldn't have had this kind of record quarter if those guys hadn't given 110% throughout the period. And so it's been a total team effort. And I wouldn't feel right without mentioning them. And I also want to thank the analysts today for their many kind words. I want to reassure all of you we are not letting up a bit on working hard to keep up this momentum. So let me turn it back to Daniel and the questions.
Operator: [Operator Instructions] Our first question is from Scott Hanold with RBC Capital Markets. Your line is now open.
Scott Hanold: Joe you are talking about the mid-stream assets and how that's progressing pretty nicely. And I think in your press release you talked about the gas processing plant being over 80% full with your recent contracts. Can you talk about where you want to take that midstream asset in 2019? Where do you really see the big opportunities to kind of further development when you look across your acreage position?
Joe Foran: Scott, that's an ongoing question that we talk about literally every day. Where do we want to go with this? And what seems obvious to me is that we will be close to capacity so now you look at the feasibility of where you want to extend the reach of your gathering lines for water oil and gas. And the first thing is locating probably some additional saltwater disposal wells in areas where you're going to have production. And the most likely candidates there are some of the BLM acreage that we acquired as well as our work to the north which we think is underserved up there in the Northern Delaware. And we are encouraged by our continuing movement, North and the kind of results that we are getting there we feel are steadily improving. And so those areas makes sense to begin with saltwater disposal follow-up with potentially pipelines to gather the gas and bring it into a central processing station. And the third area is in the oil and further developing our strategic agreement with Plains, so that in the future you will have more options on what markets you want to take to your oil. So, kind of layering that in and kind of that fashion. Matt or Greg, would you add anything to that?
Matt Hairford: Joe, I think you said it well. To me Scott, what I think is really important is the success that the midstream team has had thus far. With the plant being at 80% that you mentioned, we have got six saltwater disposal wells that will be drilled at Rustler Breaks. We've got three down at Wolf. And just what that does for us, I think it gets the foundation where as you continue to add things, like Joe said, you add the sixth well at Rustler Breaks here at the end of this year. You're able to add an aiming trader at the plant. You're able to get additional compression where you can build on these things. And it really takes the risk out of the midstream business as you tack things on. As you get bigger and bigger adding another saltwater disposal well, so is not that big a deal. And you are usually adding that when you've got committed volumes going forward. So the team has done a great job, and I think the opportunity base analysis is what we're going to continue to look at and just make sure that we're doing the right thing for both San Mateo and for Matador.
Scott Hanold: And as my follow-up, you also talked about production in 4Q being a little bit more flat. And it looked like that maybe as a result of some drilling by some nearby producing wells with new ones. Can you give us some sense of what that impact for the quarter could be? And is this something that - how do we look at this as we go through 2019? Is it going to happen most quarters, but is there a point in time when like in 4Q it looked like it might be a little bit more?
David Lancaster: I think it just happens that this quarter. It just seems like it's a little bit higher than most. It happens all the time. We have wells shut in from time to time. But I think this quarter was just - looked like it was going to be just a little bit higher. If we’re able to get through some of those completions a little more quickly get the wells back online, which is what we always strive to do, then things might be a little better. But I just felt like - we felt like looking at the forecast that it was just worth mentioning this time. And sometimes it's not only our wells that we are completing, it maybe offsetting wells from other operators that are getting completed that caused us to need to shut in some of our recent completions too. So just one of those things that kind of stuck out a little bit this quarter, and that's why we mentioned it, but it always happens.
Operator: Thank you.
Joe Foran: Before we go to the next question, I would like just to note the leaders of our marketing and midstream group, Gregg and Matt, they've formed a great team together. And where Gregg primarily does the planning and Matt does the execution, and you can see the results, and want to thank them for the planning and their work with us on the executive committee on making sure that all rolls out smoothly. And the operational effect that they've had and that we are less than 1% of our gas production because when we've been ready to turn the wells on the coordination between them and production they are waiting with a pipeline when production is ready to hand over. So I don't want to admit they're not just smart guys; they are hard-working guys.
Operator: And our next question comes from Tim Rezvan of Oppenheimer. Your line is now open.
Tim Rezvan: I'd like to start first on the balance sheet. I noticed that leverage kind of picked up a bit. I think people expected that with the acquisition. You are now at about two times which is kind of the highest level since 2016 and organic deleveraging is I think most people see it as modest in the next year. How are you thinking about leverage and kind of managing that given commodity price volatility?
Joe Foran: Tim I may start off and then asked David to bat clean up. But first we are going at this deleveraging the balance sheet like we do land just a brick at a time. We've made a number of transactions that have put renewed emphasis after the BLM and we've already retired some of them in the neighborhood of $15 million. That doesn't sound like that much, but a brick at a time making a deal on this property or that property and we are still open for if we receive a serious offer on our Haynesville or Eagle Ford we will give it serious consideration. Whether it's for a tract or countywide or for the whole frame the same way, we are nibbling around the acreage and doing trades out in the Delaware we are collecting - being careful about collecting our accounts receivable all those little things and it's added up. Say over the last month picked up $15 million here a brick at a time and will continue to do that. We also see - you saw a big jump in our EBITDA this year from last year and we are pretty pleased with that trend. E&P is working out pretty well for us so we are keeping an eye on it for sure. But we are also continuing to address the matter and hope to get back to you with further improvement as the year goes on and into 2019. David? 
David Lancaster: Yes Joe, I think you summarized it well. We finished the quarter at about 2.0 which I don't think is concerning. It is a little bit higher than we might have averaged. And I think Tim correctly you pointed out, it's the highest since the early part of 2016. But we've always tried to keep things level. And as we look into next year, we don’t - that it may not go down that much but don't expect it to go up very much either. So I think it will stay fairly constant we believe as we go through the next year absent any kind of significant downturn in commodity price. And even at that I don't think we feel like it would be at a level that would be any alarm. We certainly maintain as Joe said the ability to monetize some of our non-core assets and I think we never entirely take the need for two, if we need to issue equity down the road, we can. That's just not something we chose to do, this time. But it's something we certainly can consider. We've also begun to put in some nicer hedges for 2019 and we will continue to try to do that to protect the cash flows as well. So I hope that helps. 
Tim Rezvan: Yes that does. I appreciate the context there. If I could have a follow-up and change topics to San Mateo. On your Analyst Day earlier this year you gave some kind of EBITDA parameters for the segment $65 million to $75 million and I know there's a big ramp quarter to quarter. Can you talk about kind of where you stand year to date on the high case at $75 million versus your base case? And specifically, kind of the you have talked about maybe a 4Q high case segment EBITDA about 25 million setting the stage for 2019. So just any color on how the EBITDA ramp is going at San Mateo? Thanks.
David Lancaster: Well first of all, I think we believe the EBITDA ramp is going very well. I'm pretty sure I'm correct, the EBITDA number for San Mateo was around 70 million maybe just a little above that in the third quarter. And so, we are certainly headed in the right direction. I think that we will be close to the 25 million in the fourth quarter. I'm not sure if we were quite get there. But I think we will be in spitting distance of it and if we don't get there in Q4 we will get there in Q1. So I think if anything it might just be a matter of a little timing. I think - I feel quite confident that we will be in that range; we will hit that and probably exceed it by Q1. Some of the old gathering revenues that we were counting on towards the end of the year, didn't come on quite as quickly as we had anticipated. And that probably will end up being the biggest reason if we don't get to 25 million in the fourth quarter. But we are still going to get awful close to it Tim. And I would say for the year as a whole, we will probably come out to somewhere probably in the middle of the 65 to 75 that we had anticipated for the year. 
Joe Foran: The other thing, I'd say Tim is when you look long-term out into 2019 and beyond the group has gotten to capacity. It's 80% at capacity out there on their gas processing. The same thing base secured some third - long-term third-party contracts that bode well and gives stability to the cash flow. And so, everything is gone - everything is working and everything has gone pretty much as planned. And the delays were not by us so much as some of the right of way issues that were blown into provided that other people was in their area and really beyond their control. But they've worked hard to get them done, so you are - days behind, but you're not months behind. 
Matt Hairford: Obviously what David and Joe said in regards to how we are handling the assets, we have the infrastructure in place for the oil gathering, when we finally get the crude line up to it so we are ready to go there. In regards to the plant, we've got the electrical substation that was done on time, on budget that gives us better quality, more reliable power for us to run the substation and also some oil sand order disposal facilities. The aiming trigger that we've been talking about is on time too. And what that's going to allow us to do that San Mateo is to process some small amounts of CO2 and H2S out of the gas and also run that plan on full ethane recovery. And what that's going to allow us to do that San Mateo is to process some small amounts of CO2 and H2S out of the gas and also run that plan on full ethane recovery. So San Mateo that's a great thing; for Matador that's even a better thing. We can recover as much of the ethane as possible. So that will be done for the entire volumes for the plant. And we have the NGL contracted to back that up. So all those NGLs that are produced are guaranteed to be fractionated and transported. So feel really good about where that asset is right now.
Joe Foran: And one other thing Tim is I like to put things in proportion. In the first plant that we built down there in Wolf that we sold to EnLink its capacity was about 30 million. Now we are up to 200 million up at Rustler Breaks so that is six to seven times the capacity we had down there at Wolf. And things are looking promising and we are considering a lot of options including ultimately building a third train up at Rustler Breaks that would double the capacity from 200 million to perhaps something approaching 400 million. That's not guaranteed but that's nice to be able to consider that that is something that is possible and those are nice projects to consider is what I'm saying. We've got some good choices and some good optionality.
Tim Rezvan: Just given everything happening at Antelope Ridge it seems like there's a lot of options on the midstream. So I will leave it there. Thanks for your time.
Operator: And our next question comes from Gordon Douthat with Wells Fargo. Your line is now open.
Gordon Douthat: Just wanted to ask about Antelope Ridge actually. The well results you have there look pretty strong, obviously a good area. But just wanted to inquire about your completion designs there and see if you are doing anything different on that front relative to the other parts of the basin?
Matt Hairford: Gordon, this is Matt. We are continuing to tweak our completion design. We've kind of settled in on profit volumes and fluid volumes. We have been tinkering a bit with more slick water designs. We've also been looking and pumping more and more regional sand. As we've talked about before we took a pretty methodical approach to getting into that part of the business but we are getting more and more comfortable with it. We are continuing to test different cluster spacing and just overall just optimizing the completion design. The other thing that we've been doing that's not related to completions is targeting. We've got seismic in the area, so we are able to utilize our max time operations to steer the wells better and find better zones to drill them in. And plus it's just a good area with some great rock.
Gordon Douthat: And then specific to that your comment Matt on the seismic, do you have that across your various areas or is that something that could apply to other areas should you get that?
Ned Frost: Gordon this is Ned Frost. We do have the seismic over Rustler Breaks and Antelope Ridge. We have some data in house now up in the Ranger area and we are participating in a group shoot with Fairfield across pretty much the whole northern half of the Delaware basin. So moving forward into 2019 we will have the bulk of our acreage under 3D in the Delaware basin. And really, we've seen a lot of value out of that data so far and I want to reiterate what Matt said is that we are seeing the targeting, the seismic and the identification of targets is really helping well results. I also left out that we do have coverage over our Jackson Trust asset and our Wolf asset too. So increasingly we're going to be folding that into our workflow.
Operator: And our next question comes from Neal Dingmann with SunTrust. Your line is now open.
Neal Dingmann: Joe, a question just for you and all the guys. You had such - obviously, tremendous well there, setting the new record on that strong 1424S. My question is, is that just continued improvement with your D&C or was there anything special to note on that one from a D&C side or that caused that one to be so exceptionally good?
David Lancaster : Neal, it's David. I think, as Matt mentioned there, it's clearly a good area. It's good rock. But I'd also like to complement our geoscience team. I think that, again, to sort of what Matt said about the importance of targeting and the follow up on what Ned said about the use of the 3D, we thought we had chosen a good target in the Thorsness well and clearly we had, because it was about a 3,000 Boe a day well. And we were kind of, as Joe likes to say, turning double back-flips on that. But the geoscience team I think really, sort of, adjusted the target just a little bit on this well. And I think the other nice thing was, we were able to really do a great job of staying precisely in that target for the entire length of the lateral. We did a good job in the Thorsness, but this particular well was exceptionally good, I think. And I think that's attributable a lot to the Max Comm team and the fact that we had that group downstairs working 24x7 to be sure that these wells are steered right where they need to be. And I can't help but think that that also made an impact on the quality of this well.
Joe Foran: I'd like to give a shout out to our Max Comm. They go 24x7, seven days on, seven days off, and they are staying in the zone better. If you stay in zone, an extra 100 feet or 10% that adds to your reserves. And there it's a mix of geologists and engineers and they work together to enter disciplinary and they've got televisions that go out in real time to the well with the directional drilling. And this was Billy Goodwin's idea, our Head of Operations, that we think is really making a lot of contributions. They are - and I have to admit I was - I had reservations at first, because they wanted to use the room I was going to have as a Board room. And so we didn't get the Board room; we got the Max Comm room. But they're saving money on every single well and they are adding net fee to pay, because they're staying in zone. And so it's...
David Lancaster : I think it's a perfect example of working together. We've got engineers sitting next to geologists shoulder to shoulder down there. And they're not only working on geo-steering, but they're working on drilling performance. So you've got the advantage of having geologists sitting next to drilling engineers when they start talking about why it's drilling faster why it's drilling slow, there might be a very good geological reason why things are happening. So they are saving money and drilling better wells. So that's not us.
Joe Foran: And Neal, I'd just quickly say also that no matter where you put these wells, they still got to get fracked. And I think the completion guys also just do a terrific job of getting all these stages pumped away, pumped away successfully and it makes a big difference. They are constantly trying to innovate and improve on what we are doing out there. And I think this is just a case where it all comes together. And one thing I've always known is that fracking makes - fracking sometimes makes bad wells good, but it always makes good wells great. And so this is one of those cases where I think it took a good well and made it great.
Neal Dingmann: And then just one follow-up. I think Matt and some of you guys were hitting on this earlier. Can you just talk about over in Antelope and then Stateline maybe in broad terms, how you see the infrastructure buildout sort of progressing? Not necessarily just remainder of this year, but more for 2019 if you could.
Matt Hairford: I think the advantage we have there is obviously the blockiness of that acreage and the number of wells we're to be able to drill from a minimal number of service locations. So the team as we speak they are actively putting all that together, finding out where they are going to put drilling pads, where they are going to have production pads and how the infrastructure the internal infrastructure is going to look. At that point we can decide what we want to do with those volumes, whether we want to tie into somebody locally or whether we want to do it with one of another midstream companies or whether we want to do it ourselves. So it's a big enough thing that we're working on it right now and not just add gas, oil and water, but also electricity. We've been talking about the substation and getting electrical on this box is going to be important too. So that's ongoing and it will be part of our development plan. 
Operator: And our next question comes from Noel Parks with Coker & Palmer. Your line is now open.
Noel Parks: I wanted to turn to the Eagle Ford and I was interested in hearing as far as making the decision to put a read back out there. What was it that sort of pulled you over the line in making that decision? Finally, the LLS premium staying in place, service costs day rates, other peer's returns and also curious what well cost and you were thinking and then also working interest we might see from the 10 wells?
Joe Foran: And I'll start off and I will pitch in and I'm not sure that we are all exactly the same mind, but when we weighted those various considerations that you mentioned, some of those came a different way. But in the end we were all of the consensus that this was the right thing to do. You had a differential so you took advantage of a little better oil price that you got. You are also validating - we didn't have a lot. Most of our acreage was HBP already, but with these wells you will get to approximately 95% and nothing else would have any exploration until 2020. So we thought it was a positive thing and we also thought it was good to look at the economics. And I'm pleased to say that the first well out-of-the-box established a new record in time it took to drill. And I'll turn it over to Matt for further details. 
Matt Hairford: Yes, I think, Noel it's a great story. When we came back and started drilling last year on that - on the Eagle Ford acreage we hit the ground running. We picked up the Patterson rig, a new Patterson rig and brought it down and started drilling and drilled the fastest well we ever drilled on Martin Ranch. We picked up this Patterson rig. Again it's one of their XK rigs - their high-tech rigs that we like and all 7 of the rigs we have all of these XK rigs. So it has been really nice working with Patterson. And like Joe said not only was the first well the fastest well we had drilled, the second well was just a few hours slower than that. So the two fastest wells we drilled in the Eagle Ford right out-of-the-box with this new rig. So very happy about all that. The other thing I think we are anxious to do is to complete these wells. One of the things that happened last year when we drilled these wells we bought the completion technology that we advanced in the Delaware and put them on these new Eagle Ford wells and did really, really well with those completions. So we will be completing the first ones here towards the end of the year and look forward to how those are going to turn out. 
David Lancaster : Noel, this is David. You asked a question about working interest and I can tell you that almost all of these wells will be essentially 100% working interest for Matador. Probably on the cost I imagine we are probably closer to plus or minus $5 million, we get one-mile well and probably in the order of maybe 7 to 8 if we have a 1.5 - 2-mile well. And some of these wells will be longer - will be longer laterals. So I think about 6 of the 10 will be longer laterals. 
Noel Parks: I also noticed in the press release you mentioned that the wells would primarily be targeting the Eagle Ford. Does that mean you'll be doing other targets as well as Austin Chalk or something else? 
Joe Foran: Yes, that is what that means. I think as we noted earlier when we announced the rig we'll probably do one or two Austin Chalk tests. We've not actually done any tests in the Austin Chalk on our acreage and so that's something that we plan to do with a one or two. We think certain of the areas are prospective for the Chalk and so we are probably going to give that a shot here in this program. 
Operator: And our next question comes from Irene Haas with Imperial Capital. Your line is now open.
Irene Haas: So my question for you is really getting the oil and gas out of the Delaware basin can be pretty daunting and challenging, understanding you have a plant at Wolf and Rustler Breaks which is going great. Elsewhere I am kind of curious when you try to secure a third-party gas processing how difficult was it and what did you do precisely to end up with just 1% gas flare considering how tough things has been? And then the second question is really Mid-Cush differential. It looks like October is the worst. Any color? 
Matt Hairford: Irene, this is Matt. In regards to what we've got there at Rustler Breaks you are right. We've got very good coverage on getting oil out, getting gas out, getting the gas process, getting the NGLs out. We are rock solid there. And where Gregg Krug's and his marketing team has been able to do at Antelope Ridge and Ranger and Arrowhead and Twin Lakes they've been able to go out and secure firm capacity for our products. The discussion kind of goes Gregg will call and say, hey can we get this on firm? And they will say, yes. And then it becomes a negotiation about price and term. So knocking on wood here Irene but so far we have not had much of an issue getting that done. So, - and that's how we severely limiting the number of Mcf that we are flaring. As Joe said earlier, the stuff that San Mateo, Rustler Breaks and Wolf were less than 1% and we are in single-digit percent on the other. And that's just time waiting to get interconnects which is one of the beautiful things about being in the midstream business that the E&P company walks down the hall and says to the midstream company we need to get [indiscernible].
Gregg Krug: Yes, this is Greg. And yes, I'd like to add a little bit. As far as any production that we've had curtailed. It may have only been just because of timing when it comes to hooking up the well. It had nothing to do with being curtailed on downstream markets. We've never been cut back from our markets. So, we feel really good about that.
Operator: And our next question comes from Richard Tullis with Capital One Securities. Your line is now open.
Richard Tullis: Congrats on a very nice quarter there. Two I guess bigger picture questions. We've seen at least three E&P industry transactions already this week and those were all - are mostly all stock deals. Joe and the rest of the team, how do you view the larger M&A landscape as we sit now? And should we look at it as a tougher environment to potentially monetize the Eagle Ford and Haynesville? But at the same time, maybe makes it a little easier for you as Matador, if it chooses to do a bigger acquisition? How do you view the landscape right now Joe?
Joe Foran: Richard that's a great question and we - it's another question we talk about almost every day in one way or the other. The guiding principle for us is we realize we are a public company with a public trust and working to play a straight game. Matador has shown that it sells itself way back there in 2003. We sold a good part of our position to Chesapeake in the Haynesville in 2008/2009. We sold our first processing plant to EnLink and we sold part of our Rustler Breaks to Five Point. So, when a really serious offer comes in, we're going to give it serious consideration. And we have said for some time we're not a company that says we are a single basin company and we are going to reduce ourselves down to whatever basin is most important. Clearly, the most important right now is the Delaware. But as you can see being in several basins has shown to be good strategy and that diversification leads to more options. There are several companies that are talking about themselves now. There are the wisdom of being a multi-basin. So, I don't know, to me, it doesn't matter so much whether you are a single basin or multi-basin; the point of it is to get into the best rock that you can with the best economics and that's what our primary focus is. At the same time, as I said, we play a straight game. If a company feels that something - an asset that we have whether its midstream or oil or gas is more important to them than to us and they want to - they will - we're always ready to talk or trade JV - whatever they think makes sense and would make sense to us. Usually the people that come in to try to buy and say, we are so sorry. You are burdened with Haynesville. We will buy at PDP or here we don't want you to have to go down the South Texas. So we will buy your Eagle Ford, and they're trying to buy it on the cheap. That won't work, particularly with a company that has a strong balance sheet. And that's one of the things that you have is when you have that stronger balance sheet, you don't have to do things. We are very open to that, but it's got to be full value or to offer something better in trade. But we're very open to that, and want everybody to know that, look we play a straight game here. And when some makes sense, we will pull the trigger on it. Now I hope that answered the first part of your question how do we feel about the M&A transactions? And the second thing I would say is this is a group here that is the golden goose. For 35 years, Matador either in its first iteration or the second one has delivered about a 20% rate of return. These guys know how to work together. They developed a methodology. And as long as they can keep generating that I see us continuing to move forward. And because it's hard to earn that rate of return consistently, and don't want to kill the golden goose, because I think these guys are getting better and better, and hope that you continue to see since the day we went public, all the improvement has been. We've gone from 400 barrels a day to over 30,000 barrels a day and the consistency that this group has delivered, I think this is now the 17th straight quarter where we've met or beat industry consensus. So I think - and we've grown primarily organically, almost organically, virtually all organically and when you can do that you should make a higher rate of return when you roll back acquisition naturally that's generally a lower rate of return closer to 10%. So I think it's made sense what we've done. I think our guys were very careful about spending the money. Matt, is kind of a guiding principle. He articulated the guiding principle that we want to grow. We want profitable growth at a measured pace. And the outspend, we've had some outspend. But look at what we've spent it for. I think our shareholders have gotten full value and have greatly benefited from the outspend, because if you borrow at 5% or 5.625% and get a 40% to 50% rate of return, I think that's good business. But yet, everybody here really looks at the financial discipline, so we don't get over our skis and we don't double our rig count. It goes up one rig when we know we've got it covered with good prospects. So that kind of tension we want to grow, but we want it at measured pace, and we want to be profitable. And we want to watch the balance sheet, but there are opportunities that come along that if you don't take them, like bolt-on acreage in your tracks or to increase working interest, if you don't take them then, you'll never have another chance to do it and the same thing on midstream. These midstream opportunities when we first did it people questioned, why are you doing that. And you can now see the help that it's been operationally, financially, creating a presence and it's worked out every bit as I said it would - improved takeaways, improved our hedging. And so I think your point is very, very well taken and that when we view it all in concept, I think the guys here have done a good job been growing Matador from the size when we went public. You remember how humble our beginnings were, and today we have still got a lot of room for improvement but we are steadily making progress on that consistency in delivering now over four years of consistent returns. And I'm touching wood, don't know how long it will last, but it looks like, it's very encouraging with these better than expected results. Our guys are just finding better ways to target, better ways to complete and reducing the cost as Matt explained, like with his Maxcom program. I don't know where the end of that is but each of the groups keep finding ways to improve. So I'll rest my case on that and as long as they keep telling me they can make further improvements we will - the executive group plans to be supportive of that. David?
David Lancaster : Yes, I think you summarized it well Joe. I do know that I would have anything to add to that. I think as far as the M&A landscape goes and all Richard I think Joe is just right. We know we are officers in a public company and if we should get an offer we will consider it. And we look for opportunities to improve our company all the time. But I think those transactions are difficult to do but obviously as you said, we've seen several of them get done this week.
Richard Tullis: Thank you for that David and Joe. Appreciate your response and that's all from me. I will leave it there. Thank you.
Joe Foran: Well, thank you and thanks for giving me the time to say all that.
Operator: [Operator Instructions] Our next question comes from Dan McSpirit with BMO Capital Markets. Your line is now open.
Dan McSpirit: I was hoping we could just hit on the company's reinvestment rate just a little more directly, a little harder here if we could. I think there was an expectation on free cash flow generation that's growing in the capital markets today. Those producers that can achieve this state may be able to separate themselves in what remains as you know is still a very crowded field of independents. Will the company be more explicit with respect to achieving a free cash flow neutral state when laying out its 2019 guide? Or should an outspend still be expected given where the Company sits in its lifecycle?
Joe Foran: Dan, I'm going to say something real short and then I'm going to turn it over to David for further detail. But I'd tell you this is that whenever outspend is discussed I think it's vitally important to understand it isn't the outspend - just the outspend. There are two variables involved, how much do you outspend in relation to your balance sheet; and second, is what are you getting for it. And if we weren't getting some really good results, we wouldn't be out spending or didn't have exceptional opportunities. So whatever we outspend is on a very select basis and really has to really fit in. That's the first thing. And second, is I'm very pleased we've got the kind of opportunities that you would want to do so. And clearly, you've seen how we've grown in value. And I think we've made the right decision to go ahead. Having said that, this is a question we talk about, our Board talks about and we think we are doing the right thing. At some point our opportunities won't be as robust as they are now perhaps and then you would see that slowdown. And we are closing it in its narrowing on that - on the free cash flow. We are aiming for that to get things in better balance. But I started with $270,000. So I've had to outspend to grow to get to this point and to grow to this point. So it's something we practiced for a long time on a very select basis. But if you just spend the same money that would be like the two football teams who have got to come in and they have all got to and you can't run around in everybody has to go up the middle and you can't have anybody fast on your team and you can't throw the ball but once. No you know that's what this capital market is with different people, with different styles. But you've still got to be conservative. And we practice financial discipline. We've never had a layoff in 35 years. And I think we do that. So it's a very select basis and it is two variables. So with that let me turn it over to David. And let him say how he thinks.
David Lancaster: Hi Dan its David again. I think Joe did a nice job of summarizing it. I might just add with regard to your question about 2019. Certainly when we put out our guidance for 2019 which I expect would be likely after the first of the year we will discuss our plans and what we may have in the way of outspend. I think we would expect that there will be an outspend in 2019 with regard to your comments about lifecycle. I think of the Company or where we are in our lifecycle, I think we feel like we are still at a scale that doesn't quite lend itself yet to the best of the free cash flow model. But the fact of the matter is we could do it next year. I think it will be more a matter of choice because of some of the things that we've done recently particularly in terms of adding the new acreage from the BLM acquisition into the portfolio. That is something we are going to want to get going on. And we are optimistic will be able to get going on that certainly by the fourth quarter of next year maybe even a little earlier. And if we can we are going to get after that. And I think that will also make a big difference in what we are able to do in the out years. But I certainly would imagine that we will see an outspend again next year and it will still be I think a couple years before we'd be able to achieve that. I might point out that as Joe said I do think we've continued to narrowing in on it every year on the E&P side. On the midstream side, depending on what we decided to do next year again we could also be spending within cash flow on the midstream side. We may decide to outspend that a little bit as well in order to expand our operations from the footprint that we currently have. But again I think that we've demonstrated that those have been good investments and good uses of money that have created additional value for our shareholders. So I hope that helps.
Daniel McSpirit: It does. I appreciate the well-rounded answers. I do; it helps in framing 2019 and periods beyond. And then just as a follow-up, just on 2019, David, what are the big challenges to putting up a more capital efficient year, whether it is cost inflation or plateauing of productivity gains or other such variables?
David Lancaster : Ask that again Dan. I didn't quite get what you were asking me there.
Daniel McSpirit: What are the challenges that you see next year to putting up a more capital efficient year, whether it’s cost inflation or on the production side just plateauing of productivity gains in the field?
David Lancaster : I think you probably hit on a couple of them. Certainly, although I am a pretty optimistic that we can continue to improve upon the profitability mix or the productivity mix in some ways just perhaps by the mix of wells that we drill. And I certainly think as we go into the latter part of next year and into 2020 as we begin to fold some of this BLM acreage into the mix and work with some longer laterals, not only in our existing footprint but in that acreage that actually our capital efficiency can improve. So you certainly have - you always fatten the declines and that's just a part of this business. But as I look into next year and 2020, I really feel like we've spent a fair amount of time Dan in the last couple years getting our footprint held by production. And the best way to do that in a lot of these areas was to focus on one-mile laterals because it allowed us to capture more of the acreage and get it held in a more efficient manner. Even doing that I still think we've done pretty well with our well results and our productivity per lateral foot. But now that we have a lot of that behind us, I think we have now the luxury of being able to go back and drill the next round of wells on those properties at a little bit longer laterals than we have when we started doing that at Rustler Breaks. We are doing it at Wolf and we put the rig up in Stebbins. We're already making plans to have longer laterals up in Sevens. When we get to the BLM acreage a year from now, we will be consistently drilling two and 2.5-mile laterals on that acreage. And so I think that we actually have some pretty positive things to look forward to in terms of improving our capital efficiency over the next several years.
Daniel McSpirit: Superb. Appreciate it. Thank you gentlemen. Have a great day. 
Joe Foran: Dan before you sign off, I'd just like to add a little bit to what David was saying is one of these capital efficiencies that I don't think is always recognized or appreciated is this brick-by-brick strategy that we have for adding acreage as well as the brick-by-brick strategy that I mentioned on realizing more cash from our asset base is that we bought last year 25,000 - we acquired 25,000 acres a little more than that. And our whole weighted average base of our 130,000 acres is $11,000. So, yes, we bid strongly for the BLM because we consider that the best rock in the country. But the brick-by-brick strategy gave that weighted average where we are well below the weighted average costs that other producers have out there. The same thing this little brick-by-brick it will make a deal little or small acreage trade also favors, those are highly efficient capital transactions while not big in any one instance they add up. If you acquired 1000-1500 acres a month, end of the year you've acquired 15000 to 20000 acres that can be quite expensive, but our guys have done that on that brick-by-brick approach. And the $11000 an acre includes our mineral position. So I think that's kind of a highly efficient, but not necessarily fully appreciated effort and then the same thing on our midstream. That's kind of been working with that has gotten us either cash or carries or - and further efficiencies, operating efficiencies by having that. So that's an indirect efficiency, but it adds up to the bottom line of improving your overall. So we kind of call that our guerrilla campaign so to speak of getting out there and getting it one way or another. And so when you start with $270000 which in perspective is one frac stage you learn all these ways to try and create additional capital because you just don't have very much of it. And that culture I think remains in Matador today. Billy and the drilling guys look for ways to work with the vendors to challenge them. We don't want to cut prices on you guys; we want you to show us how we can do things more efficiently. And our vendors have really stepped up and whether it is Halliburton or Schlumberger or Patterson or Forrester they've helped us. And I want to express my appreciation to Champion's pipe is well that they've - instead of coming in and saying you've got to lower your prices they have helped us show us ways to use their services in a more capital efficient way. And I just had to say that; I couldn't restrain myself.
Operator: And our next question comes from Mike Scialla with Stifel. Your line is now open.
Mike Scialla: I just want to ask a few questions on the Eagle Ford. Can you say where production is now? And if you do all 10 wells there where you might expect that to go in the first half of 2019? And what the drilling inventory looks like there?
David Lancaster : Well as far as the latter part goes, we still I think have on our acreage position a couple hundred locations in the lower Eagle Ford on various parts of the acreage that we think can still be drilled. And then of course as we mentioned we have always in the past said, we've only tested and only drilled into the lower part of the Eagle Ford. And so we haven't tested the upper Eagle Ford or the Austin Chalk some of the other areas down in South Texas that other operators have worked with and which we think are also prospective on our acreage. So that inventory could be higher. As far as the production goes I think that we were - I think it was about 8% of our production this past quarter. So I think it was pretty close to 4,000 Boe a day and it's about 2,400 I think barrels of oil a day. So I would expect that, I don't think we'd quite double from that certainly not on the average. We'd probably get our rates up. With this 10 well program they will probably early on get up in the 6,000 to 8,000 Boe a day I would imagine from this program maybe even a little better. But on average I would expect that for 2019 our production might be 50% better out of the Eagle Ford as a result of this project.
Mike Scialla: Thanks David. And Joe, I wanted to ask on, you mentioned your 11,000 per acre average to date in the Delaware for acreage acquisition. Do you have a number for - I know you've got the BLM number out there which is a big part of this year's but just wondered if you had a number handy for the I believe it's 27,000 net acres you've added this year in the Delaware?
Joe Foran: No, I don't Mike. You just have to factor that into that overall number. But most of that other acreage from the BLN was done at lower levels including some mineral, a fair amount of mineral acreage that we acquired. So I think our guys have done a real good job and that has been a real capital efficient way for us to grow.
Operator: And our next question comes from Sameer Panjwani with Tudor, Pickering, Holt. Your line is now open.
Sameer Panjwani: So one of the wells that we have been watching for is the Wolfcamp XY test at Arrowhead. It looks like it was completed this quarter but not much detail in the press release. Is there any color you can provide on how things are looking there so far?
David Lancaster : Sameer, its David. I would say that we would prefer not to provide any additional information on that well at this time. We have drilled and completed the well - and we have some land work that we're doing up in that area right now. And I think until that's done we would prefer just to remain silent on the results from that well. So I think we are satisfied with how it's gone. But just because of - we've got a couple of deals we are finishing work on it would probably be better to, we just get that done before we report on the results.
Joe Foran: We would also like a little more data history before we come out. One thing you probably noticed that we've moved to doing 90-day IPs to try give you all - people didn't seem to like our instant IP so we've tried to make it a practice of getting a little more data history before saying something. And there can be great change in these wells as you know. So we are encouraged, I will say that, the results today have been positive, but we just want to be more confirming before we make an announcement and before we commit more capital to that area.
Sameer Panjwani: Maybe on the Twin Lake flow then did you guys do anything different here versus the initial wells that you've operated or in which you've had a non-op interest? And then are there any intervals being tested by operators in the region outside of the Wolfcamp D or the B?
David Lancaster: This is David again, Sameer. With regards to the last question, I'm not aware that there's anything being tested, I mean, not in the Wolfcamp proper. I mean, in that area to the West you've had people that have worked in the OBO and the ESSO and historically there have been any number of different targets. We even tested the Strawn several years ago in the run-up to our first well over by the Culbertson. That was the Olivine well. But I think in the Wolfcamp proper, the answer - to the best of our knowledge anyway is that it has either been the D or the B. And I think that Continental is the first one that has tried the B out there. With regards to did we do anything different, I would say that we did target a little bit different interval than we had before. We took a hole core on this well also and we did some additional mechanical testing and not only for targeting, but also for helping us to select a zone that we thought might frac better than what we'd experienced in the previous well. I think that absolutely happened. So the well treated much better. And it's just started flowing back and we just don't have a whole lot of results to talk about on it as yet, but I think we should fairly soon. 
Sameer Panjwani: Was there anything different on the completion front on that well?
David Lancaster : Matt, you want to clear over there.
Matt Hairford: Sameer, this is Matt. And nothing real significant in terms of outside of what we are doing in other areas. I think the most important things that David said was we did find a target. We stayed in that target all along the way. And the completion guys spent a good deal of time looking at, they’re looking at the hole core making sure that we had the right design and it went off pretty well. I think it’s probably fracked is actually better than the other well that we've drilled and better than some of the others drilled in the area. We did actually pump some resin coated sand on the tail end, so we haven't in the early stages of production here we haven't flowed the sand back. So like David said it's just still a little early to tell.
Operator: And our next question comes from Jeff Grampp with Northland Capital Markets. Your line is now open.
Jeff Grampp: I figure that's a - I will leave it at one quick one here hopefully. Just curious given the results at Antelope which continue to be really positive, is it fair to think that that's the likely bias for where that Eagle Ford rig goes when it wraps up over there? Or are there any midstream facility-related buildouts you guys maybe need to get ahead of before accelerating there? And then I guess just building off that are there any stack pad type tests or anything you guys might be planning at Antelope Ridge as well?
Joe Foran: Well, to that question I’d say, yes to all of them, is that the Antelope Ridge is certainly emerging as you get more data in. That's one of the things that's changed is we are beginning to like having a little more data before we have to make a decision. And coming out too early, can get you in trouble. But the way it looks right now as we get more and more data, it looks very encouraging. It's a little early to declare victory, but it looks good. And the same point about the saltwater disposal there's a process in getting permits out there that's not entirely your control. The state - the regulatory people have a say in how quickly you can get them. So we first have to get them before we can drill them. And so the exact order - and that rig may drill some Antelope Ridge, go drill a saltwater disposal well or two, then come back to Antelope Ridge or vice versa. So that's all part of the planning process. And all things being equal, you drill your oil and gas wells at the first of the year and tend to drill your saltwater disposal at the end of the year because they won't have an effect on production. But that's all up in the air as we talked. Does that answer your question? David has something. 
David Lancaster : I'm just going to say Jeff the only thing I would add is that, while we are - 100% we're very excited by the way the Antelope Ridge area is testing out. And certainly it will - it's going to compete well for next rig or rigs before very long especially with the additional BLM acreage that we acquired. But I do want to also say that we've been pretty happy with the results we've seen recently up at Arrowhead. I will point you back to the recent Stebbins wells in the second and third Bone Spring, the SST wells that we reported on last quarter. So I will say that team is making a pretty strong statement for having another rig in that area as well. And given the fact that we have a nice several thousand acre block right up there in that area, it is an area where we can go in and I think do some capital efficient drilling in terms of longer laterals, and just leaving the rig parked right there in the same vicinity for a good period of time. So that is something we are seriously considering in making the rig allocation decision as well. 
Operator: Thank you. And our next question is from Tim Rezvan with Oppenheimer. Your line is now open.
Tim Rezvan: I'm sorry guys. I was hoping for color on Twin Lakes and you gave some, so I'm all good here. Thanks.
Joe Foran: Tim, thank you and come by and see us. That's something we'd like to invite all the listeners to is come by and see us in person. And I think we always gain from meeting you all in person and taking all your questions. And the same thing meet with us and meeting some of these young staffers that we've been touting those guys who are really helping make a difference and adding value in a lot of different ways. That's an open invitation and we'd really like to have you here and we'll buy you lunch or breakfast or dinner or whatever suits you as a further incentive.
Operator: Thank you. Ladies and gentlemen this ends the Q&A portion of this morning's conference call. I'd like to turn the call over to management for any closing remarks. 
Joe Foran: As I said please come see us. We'd like to get to know you better too. So with that I'm off. And thank you again for the kind words many of you had. We are continuing work just as hard as ever and look forward to reporting to you next quarter. 
Operator: Ladies and gentlemen, thank you for your participation today. This concludes the program.